Operator: Thank you for standing by. My name is Kathleen, and I will be your conference operator today. At this time, I would like to welcome everyone to the Triple Flag Precious Metals Second Quarter 2025 Conference Call. [Operator Instructions] And now I would like to turn the call over to Sheldon Vanderkooy, CEO. Please go ahead.
Sheldon Vanderkooy: Thank you, Kathleen. Good morning, everyone, and thank you for joining us to discuss Triple Flag's Second quarter of 2025 results. Today, I'm joined by our CFO, Eban Bari. Triple Flag achieved another record quarter in Q2. Sales of nearly 29,000 GEOs drove record adjusted EBITDA of $76 million and most importantly, record operating cash flow of USD 0.38 per share. Given our strong margins that consistently exceed 90%, these record results demonstrate Triple Flag's ability to realize higher per share cash flows in today's strong gold and silver price environment. This strong performance has also positioned us well to deliver our 2025 guidance of 105,000 to 115,000 ounces over the balance of the year. On the deal front, we have maintained a solid pace of accretive acquisitions during the first half of 2025. Most of these transactions have focused on tuck-in investments into near-term production starts, including the Tres Quebradas lithium mine in Argentina, the Arcata and Azuca silver mines in Peru as well as the newly announced additional 1.5% gross revenue royalty on the Johnson Camp copper mine in Arizona. All of these 3 acquisitions are expected to deliver first revenue in the second half of this year. Notably, we also completed our acquisition of a 1% NSR royalty on the world-class Arthur Gold project located in Nevada, formerly known as the expanded Silicon project. Operated by AngloGold Ashanti, this project offers exceptional long-term growth potential, underpinned by a rapidly expanding resource base and significant exploration upside. This asset represents tremendous value for our shareholders, and I would like to thank the Triple Flag and Origin teams for their hard work and dedication in completing this transaction. We are very excited about the Arthur project. AngloGold's CEO made quite positive statements about Arthur last week, and I think that our shareholders are really going to benefit from our exposure to this project in the future. Turning back to organic growth. The most powerful and value-driving aspect of the royalty and streaming model is the free carried optionality that Triple Flag has on our assets as our operators continue to search for new exploration discoveries, replace reserves and expand their assets. Triple Flag has 4.75% exposure to Westgold's Beta Hunt mine in Australia. In Q2, Westgold declared a maiden resource for the Fletcher zone of 2.3 million ounces. This nearly doubles the total resource base at Beta Hunt with significant exploration potential at depth and along strike. Westgold's rapid progress from the announcement of the initial discovery target at the Fletcher Zone last September to the declaration of a maiden resource in June is a testament to the quality and embedded value within our portfolio. I'll touch more on the Fletcher Zone later on in the presentation. Finally, an important pillar of our capital allocation strategy remains returns to shareholders. We are pleased to announce our fourth consecutive annual increase of our dividend since we listed in 2021. I will now ask Eban to discuss our financials for the second quarter of 2025.
Eban Bari: Thank you, Sheldon. As noted, we had a very strong second quarter with portfolio producing nearly 29,000 GEOs, resulting in a record first half of over 57,000 GEOs. This puts Triple Flag right on track to achieve our 2025 sales guidance. These strong volumes were delivered amid the backdrop of record precious metals prices as well as continuing strong margins. Accordingly, we're pleased to highlight that operating cash flow per share, the single most important metric we focus on as a company, has increased by over 50% year-over-year to a new quarterly record. We view a progressively growing dividend as a core part of our capital allocation strategy. Our dividend has been increased to USD 0.23 on an annualized basis, up 5% from prior dividend. I'm proud that we have increased our dividend every year since our IPO. Lastly, I'd like to comment on our balance sheet. We exited the quarter with 0 debt. And even with the capital deployed early in Q3 for the Arthur royalty, we expect to be in net cash position by the end of Q3 at current metal prices. Overall, a clean and strong balance sheet, robust operating cash flows and total liquidity available of nearly $1 billion gives us the capital to continue to deploy dollars into accretive opportunities to drive future growth for the benefit of shareholders. Moving ahead, we highlight 3 key aspects of our investment thesis that remain unchanged, namely top-tier assets, precious metals focus and a portfolio which is predominantly centered in Australia and the Americas. Northparkes and Cerro Lindo continue to be the 2 largest contributors to revenues. Northparkes had a record quarter due to processing of higher open pit grades from stockpiled ore, while Cerro Lindo received a strong benefit from the rapid rise in silver prices towards the end of the quarter. Overall, revenues derived 100% from precious metals with roughly 2/3 from gold. This pure-play exposure ranks amongst the highest in the sector and offers investors exposure to the many favorable tailwinds for both gold and silver. Finally, our portfolio is predominantly located in mining-friendly jurisdiction. A key criteria, we look to expand our portfolio through acquisitions. In Q2, 90% of our revenue was derived from assets in Australia and the Americas. I will now turn it over to Sheldon to discuss Beta Hunt and the new maiden resource at the Fletcher Zone.
Sheldon Vanderkooy: Thank you, Eban. Beta Hunt is an underground gold mine located in Western Australia and operated by Westgold. We have several gold royalty interests on the asset, including a 3.25% on gross revenue and a 1.5% NSR. These royalties were acquired through our acquisition of Maverix Metals in early 2023 and last quarter represented our third largest source of revenue. The positive news flow from this asset has been meaningful over the past year. In addition to exploration success currently anchored by the Fletcher Zone maiden resource, Westgold is advancing an expansion project for the asset to achieve consistent mine throughput of 2 million tonnes per annum. With the declaration of a maiden resource of 2.3 million ounces at Fletcher Zone that nearly doubles the previous resource base at Beta Hunt, there is also now scope for further expansion potential above 2 million tonnes per annum. This is particularly important as the Fletcher Zone is located only 50 meters from the Western Flank system, which is currently the main source of ore at Beta Hunt. This maiden resource was achieved from only 1 kilometer of a known 2-kilometer strike, highlighting the potential for upside at Beta Hunt. The resource is also open at depth. Given the significant discovery, we look forward to seeing how the Fletcher Zone will ultimately be optimized within an expanded Beta Hunt operation by Westgold. Several catalysts are upcoming, which should provide a preview of the near-term future, including a 3-year company-wide outlook in September and an initial reserve for the Fletcher Zone in Westgold's fiscal year 2026. To close, I'd like to state that we had a strong first half in 2025 and are well positioned to achieve 2025 guidance over the remainder of the year. We saw robust growth in operating cash flow per share and delivered both tuck-in and large-scale transactions that will benefit our shareholders for decades to come. Triple Flag has a strong track record of GEO growth, and we look forward to seeing the delivery of several catalysts across our portfolio. These include the commencement of production at Johnson Camp Mine, Arcata and Tres Quebradas as well as development progress with the E48 sublevel cave at Northparkes and at the Koné, Hope Bay and Arthur projects. I'd also like to specifically call out some positive news announced by our operators yesterday. Centerra announced that it will rapidly advance its Nevada Gold Field project. Triple Flag holds a 5% royalty on the Gemfield deposit, which accounts for approximately 80% of Gold Field production. Talon Metals also announced very interesting drill results on its Minnesota Tamarack project. These results are within our royalty coverage. Looking ahead, our transaction pipeline remains very robust, and we are excited by the significant opportunity ahead for our business to deliver further value. Kathleen, please open the floor to questions.
Operator: [Operator Instructions] Your first question comes from the line of Josh Wolfson of RBC Capital Markets.
Joshua Mark Wolfson: First question is just on Gunnison. The royalty additional purchase here looks to be done at a very attractive price, sub 3x cash flow based on what the company's guidance is. I'm just wondering from the overall royalty, what should we be expecting as a steady-state production that Triple Flag is estimating?
Sheldon Vanderkooy: Thanks, Josh. Yes. So the Johnson Camp royalty, it's not a large amount in total. As you pointed out, it's a fairly small purchase price we have on that. I don't believe we're going to be giving any like asset-specific guidance on that, but it's a little bit of incremental copper exposure. We think it's quite attractive. And I think as you noted, in addition to this, we picked up an additional 1.5%. We already held 1.5% and the Johnson Camp mine is also subject to the stream area so we'll benefit in that way. But we're not giving asset-by-asset guidance.
Joshua Mark Wolfson: Okay. Got it. And then on ATO and some of the additional disclosures here. I guess, first, what would be the process here for Triple Flag to enforce their security on the stream? And then as a follow-up, how does that affect the operators' credit situation and their -- I guess, their current restructuring process?
Sheldon Vanderkooy: Yes. Thanks, Josh. I just want to set the context for the Steppe Gold disclosure that we had. The current amount of the arrears that Steppe owes us is circa USD 8 million. So it's not a tremendous amount of money. And Steppe actually has over CAD 300 million market cap. So I believe that they are able to pay. Historically, we've had a very good relationship with the Steppe Gold management team. We actually made our initial investment in Steppe in 2017. Our initial investment was $28 million. To date, we have realized over $50 million in cash flows from that investment. So it's been really lucrative for us. In '23 -- sorry, in July of '25 -- sorry, '24, I'm getting mistaken up here. Boroo acquired a controlling interest in Steppe Gold, and the relationship changed. So Boroo is a private mining company. It's based in Singapore. They're quite a successful group. They acquired the Lagunas Norte asset from Barrick in '21, and they've done very well with that. And they acquired Steppe in order to get access to the Phase 2 development at ATO. Boroo was well aware that the stream was in place when they acquired their interest in Steppe. Parties related to Boroo approached us and asked us about buying out our interest. We were not interested in that. And the Phase 1 oxides at ATR are coming to an end, and Steppe is targeting Phase 2 production in 2026 and 2027, and that's based on their public disclosure. We didn't agree to the delivery halt. We do have a parent guarantee from Steppe Gold. They are a producing gold company. According to their public disclosure, they've called for over 74,000 ounces of production in 2025. And there's value in the Phase 2 project. To me, it's very clear there's value in Phase 2. The price of gold has increased significantly since Boroo acquired its interest in Steppe. So I don't want to talk about the specifics of how things might be enforced. I feel very comfortable with our position. We are in dialogue with Steppe. They understand our position very clearly, and I really can't say anymore as it's a legal dispute.
Joshua Mark Wolfson: Got it. And then maybe one last question on that. Is there any ability to quantify, I guess, what Triple Flag's assumed production from this asset is maybe in 2025 within the current guidance?
Sheldon Vanderkooy: Yes. Again, I don't give asset-by-asset guidance, but I guess I'll say this, I feel very comfortable with our guidance for 2025. And even if we don't get a single ounce from ATO, I'm still comfortable with our guidance for 2025.
Operator: Your next question comes from the line of Fahad Tariq of Jefferies.
Fahad Tariq: Maybe just looking ahead to 2026, it looks like production is declining mainly due to Northparkes, the high-grade stockpiles deplete by the end of this year from E31. And then you also have a step down in the stream rate at Cerro Lindo. Can you just maybe walk through -- I know you don't want to do asset-by-asset guidance, but maybe just at a high level, where could potential offsets come from to get to offset some of the lower production at Northparkes and Cerro Lindo?
Sheldon Vanderkooy: Yes. Fahad, as you noted, like we'll get a better picture on where Northparkes is coming in as the year goes on. Evolution Mining has a June 30 year-end. And so we will solidify what we're seeing from 2026 as we get further into this year. And as you point out, Cerro Lindo does have a step down coming, which is really a testament to the success of that investment and it's still going to be quite a successful asset for us going forward. In terms of offsets, I mean, it's quite a robust portfolio profile going forward. I mean one of the things I'd point to is the Arcata mine should be coming on stream later this year. We also have the Johnson Camp mine coming online this year. We'll see some production from that existing portfolio, we are also seeing step-ups in production at a few other sources as well. But as you kind of correctly pointed out and I said before, I don't want to get into any asset-by-asset specific guidance too much.
Fahad Tariq: Okay. I appreciate that. And then maybe just second question and last one for me. On kind of deal flow and kind of what's in the pipe -- what you're seeing out there effectively, it looks like there's -- you've done a couple of smaller deals on non-precious metals. There was the Arthur Gold that was a bit larger. Maybe talk through what you're seeing in the deal pipeline and just thoughts philosophically on even corporate M&A.
Sheldon Vanderkooy: Yes. I'm going to give you an answer, I think, which is pretty similar to what everyone else is saying, which is it's a really full pipeline. We continue to be active looking at many opportunities. It's a real mix of larger and smaller opportunities. I think our sweet spot remains in the $100 million to $300 million range, and we're definitely looking some that fall even at the higher end of that range. We are looking at some opportunities that are below that range as well. If we see a chance to add value, we'll certainly take advantage of that. The pipeline right now is really focused on good jurisdictions that I think our shareholders would really like. I don't know what color I can give you really beyond that. You did ask about like corporate consolidation. In theory, I think, in general, I'm quite in favor of consolidation and corporate M&A opportunities. We had a very successful experience with the Maverix Metals acquisition. I talked about Beta Hunt on the presentation. That was a Maverix asset. Hope Bay has done really well. Kensington has done well. Koné has done really well out of that. So I think there's tremendous opportunity for value there. So in general, we think that there is attractive opportunities.
Operator: Your next question comes from the line of Tanya Jakusconek of Scotiabank.
Tanya M. Jakusconek: Some have been already asked so I'll just refine a few other points I need a clarification on. Just on your pipeline, the $100 million to $300 million range, I'm assuming it's all precious metals that lithium one was just an offset. Would that be correct?
Sheldon Vanderkooy: Yes. Tanya, yes, predominantly, the pipeline is full of precious metals opportunity. And you're right, lithium was very much an opportunistic investments where we thought we had a very attractive opportunity. So we're not focused on lithium or battery metals.
Tanya M. Jakusconek: Okay. And would you say your $100 million to $300 million, is that mainly development? Or are you looking at more nearer stage production portfolio, let's say?
Sheldon Vanderkooy: Again, it's a mix. There's actually probably a good number of actual producing opportunities in there.
Tanya M. Jakusconek: Okay. And would I assume also that the -- any streams that you're looking at would also involve equity investments and/or debt participation as well?
Sheldon Vanderkooy: No, I wouldn't assume that at all. I think that's really specific opportunity by opportunity sort of thing. We've been quite clear. We prefer to focus our investment dollars on streams and royalties. I think that's what our investors are looking for. We are open to it kind of in fairly small proportions on an as-needed basis, but that's certainly not our focus.
Tanya M. Jakusconek: Okay. And then my last question on this is the safe jurisdictions that you've talked about. Some of the other opportunities we've seen lately have been in Africa. Is it safe to assume that you're still focusing on the Americas and Australia?
Sheldon Vanderkooy: Yes. Definitely, the focus is Americas and Australia. Africa, I think you have to distinguish between different jurisdictions, but the bulk of the pipeline is actually Americas and Australia.
Operator: [Operator Instructions] And there are no further questions at this time. I will now turn the conference back over to Sheldon Vanderkooy for closing remarks.
Sheldon Vanderkooy: Yes. Thank you, Kathleen, and thank you, everyone, for joining us. We feel like we had a really great quarter, and we're looking forward for the balance of the year. Thank you all. Bye.
Operator: Ladies and gentlemen, that concludes today's call. Thank you, everyone, for joining. You may now disconnect.